Operator: Ladies and gentlemen, thank you for standing by. My name is Krista, and I will be your conference operator today. At this time, I would like to welcome everyone to the Jacobs Fiscal Second Quarter 2025 Earnings Conference Call. [Operator Instructions] And I would now like to turn the conference over to Bert Subin, Senior Vice President, Investor Relations. Bert, you may begin.
Bert Subin: Thank you, Krista, and good morning, everyone. Our earnings announcement and 10-Q were filed this morning, and we have posted a slide presentation on our website, which we'll reference during the call. I would like to refer you to Slide 2 of the presentation material for information about our forward-looking statements, non-GAAP financial measures and operating metrics. Now let’s turn to the agenda on Slide 3. Speaking on today's call will be Jacobs' Chair and CEO, Bob Pragada; and CFO, Venk Nathamuni. Bob will begin by providing comments on the business as well as highlights from our second quarter results and a recap of notable awards. Venk will then provide a detailed review of our financial performance, including commentary on end-market trends, cash flows and balance sheet data. Finally, Bob will provide closing remarks, and then we'll open up the call for questions. With that, I'll turn it over to our Chair and CEO, Bob Pragada.
Bob Pragada: Good day, everyone, and thank you for joining us to discuss our second quarter 2025 business performance. I'm pleased to begin today's call by highlighting several key milestones we achieved in the separation of our former CMS and C&I businesses during March and April. This includes completing the planned equity for debt exchange and finalizing the remaining post-closing adjustments. These actions enabled us to exit our retained stake, reduce outstanding indebtedness and on May 30, we will make a final distribution of Amentum shares to our shareholders. While we will continue to provide transition services to Amentum for the next few months, we view the primary aspects of the transaction as now complete. We delivered strong operating performance during Q2, and I'd like to highlight a few key points. First, our adjusted EPS grew over 22% to $1.43, supported by solid year-over-year margin expansion. Second, PA Consulting's revenue growth inflected positively, reaching mid-single digits and driving double-digit operating profit growth. And third, our backlog grew 20% to more than $22 billion, a new record. Overall, we are very pleased with our Q2 results. A good start to the first half paired with strong bookings momentum enables us to reaffirm our full year guidance metrics. As noted in our earnings press release, we recorded a reserve during the quarter as a result of a legal matter involving a consolidated JV in which we have a 50% interest. The impact to adjusted net revenue and adjusted operating profit was meaningful. The associated project falls within our water and environmental end market in INAS, and has been ongoing since 2016, but is now over 97% complete. The fact that we were able to absorb this impact in Q2, grow adjusted EBITDA, adjusted EBITDA margin and particularly adjusted EPS by 22% year-over-year is a testament to our strong operating performance and capital return strategy. Before I get into more details on the quarter, I'd like to briefly touch on the current geopolitical backdrop. Overall, our business remains well positioned, with infrastructure and consulting services in high demand and opportunities to capitalize on secular growth trends in front of us. The impact related to the rollout of the Department of Government Efficiency, or DOGE, has so far been de minimis, and we continue to anticipate growth opportunities with the US Department of Defense. As a reminder, approximately 9% of our total revenue comes from US federal infrastructure and related services, most of which are tied to DoD engagement. Regarding tariffs, we remain focused on supporting our clients as they assess potential supply chain challenges. Our client-centric model built on redefining the asset life cycle will create opportunity to add value as our clients navigate this period of uncertainty. Turning to Slide 4 and focusing on our results. Adjusted net revenue rose over 3% in Q2. Revenue growth during Q2 was adversely impacted by the JV matter I noted earlier as well as FX. On a constant currency basis alone, we would have grown 80 basis points faster or approximately 4% year-on-year. Adjusted EBITDA for Q2 was $287 million, representing an 8% year-on-year increase. We are seeing very good traction on adjusted EBITDA margin improvement with solid underlying business performance. Excluding the mark-to-market impact from our investment in Amentum stock and other items, Q2 adjusted EPS was $1.43, a robust 22% increase compared to previous year. Our trailing 12-month book-to-bill was 1.3x, with consolidated backlog up 20% year-over-year in Q2. Gross profit in backlog increased 15% year-over-year, reflecting another strong quarter for bookings. Our backlog growth and bookings momentum remained positive, and we are currently forecasting sequential growth in our second half results, which Venk will walk through in more detail shortly. Turning to Slide 5. I'd like to highlight a few notable I&A project awards from Q2. As we discussed at our Investor Day in February, the core pillar of our strategy is to redefine the asset life cycle for our clients. Today and going forward, we'll highlight how our awards align with our 5-year strategy. In Water and Environmental, we continue to see strong underlying revenue growth, especially in Water, where global demand remains high, among the highest in our portfolio. Our differentiation in Water stems from our full life cycle coverage and proprietary technology suite. In Q2, we secured an OT cybersecurity contract with Hampton Roads Sanitation District, one of the largest in the US water sector. This project provides end-to-end cybersecurity for wastewater treatment operations, serving 1.9 million people in Southeast Virginia. Another key area of focus for our water clients is emerging contaminants. PFAS and other contaminants present major challenges, and we are at the forefront of providing early-stage solutions for our clients. In Q2, we were selected by the city of Boynton Beach, Florida to design upgrades at two water treatment plants to remove PFAS from groundwater. Beyond addressing emerging contaminants regulations, these upgrades will modernize aging infrastructure and meet the region's growing demand for clean drinking water. In Life Sciences and Advanced Manufacturing, we continue to deliver strong results. Life sciences and data centers were the primary drivers of end market revenue growth, both seeing double-digit increases during the quarter. Life Sciences growth is being driven by broad-based investment, including a new engineering procurement and program management work for Merck's $1 billion oncology product facility in Delaware. The facility will have the capability to manufacture drugs like KEYTRUDA, and we expect to see backlog spend continue through the facilities estimated completion in 2028. Focusing on data centers, where we offer holistic cross-sector solutions that span advanced facilities, energy and power, water, environmental and digital, we were selected by PsiQuantum as the owner engineer for one of the world's first utility-scale quantum computing facilities in Brisbane, Australia. Backed by our number one ENR ranking in data centers, we're proud to help bring this next-generation computing capability to life and see a great opportunity to expand our global data center footprint in the coming quarters. Turning to Critical Infrastructure, rising global travel demand, transportation modernization and energy security requirements are reshaping client priorities. We see global aviation investment as a durable growth driver for our Transportation segment, and one where we can leverage our core competencies in consulting and program management. Notably, in Q2, we were selected as the owner engineer for Denver International Airport's continued expansion of its transportation system. This is a prime example of Jacobs helping cities prepare for future growth with smarter, more connected infrastructure. In summary, our significant awards this quarter reinforce our alignment to high-growth markets. We remain focused on delivering sustainable, profitable growth by providing differentiated, digitally-enabled solutions to the world's most complex challenges. Now I'll turn the call over to Venk, to review our financial results in further detail.
Venk Nathamuni : Thank you, Bob, and good morning, everybody. Let me begin by summarizing a few of the financial highlights on Slide number 6, followed by additional context on our quarterly performance. Second quarter gross revenue grew 2% year-over-year and adjusted net revenue, which excludes pass-through revenues, grew by 3%. As Bob noted, we experienced an FX headwind in the second quarter and also absorbed the impact of the previously noted legal reserve in connection with a matter involving a consolidated 50-50 joint venture. Due to the consolidation of the joint venture, the full amount of the reserve was taken against revenue. And as a result, impacted operating profit. However, the JV partner's allocable portion is included in non-controlling interest. Therefore, the impact on EBITDA and EPS is half of the impact on revenue. Q2 adjusted EBITDA was $287 million, growing more than 8% year-over-year. Our adjusted EBITDA margin during Q2 came in strong at 13.4%, which is an increase of 62 basis points versus the same quarter last year. We were able to offset the anticipated impact in Q2 from holiday timing as well as the impact of the JV matter through some strong performance on gross margin and discipline on G&A costs. As a result, in the second quarter, adjusted EPS close to $1.43, a 22% increase year-over-year. Please note, GAAP EPS was impacted by a $109 million pre-tax loss associated with the mark-to-market adjustment of our investment in Amentum. This had no impact on adjusted EPS. Finally, consolidated backlog was up 20% year-over-year to a record $22.2 billion. Our trailing 12-month book-to-bill of 1.3 times remains very healthy. And gross profit in backlog increased 15% year-over-year during Q2, a strong indicator of our positioning over the coming quarters and years. Now regarding our performance by end markets in Infrastructure and Advanced Facilities, let's turn to Slide number 7. Demand for services in the Water and Environmental end market remains strong across all major geographies, with particularly good underlying performance in Water during Q2. Not only with core performance positive, but we also continue to grow our revenue in backlog, and our pipeline in Water is growing by double digits. Total adjusted net revenue growth for Water and Environmental was 2% in Q2, which includes the adverse impact from the previously mentioned JV matter. As we shift into the second half of the year, we expect net revenue growth to improve to the mid- to high single-digit range. In our Life Sciences and Advanced Manufacturing end market, adjusted net revenue grew approximately 6% in Q2. Facing better than our guidance, the revenue growth will be similar to Q1. We continue to see favorable demand in both the Life Sciences and data center markets, and we expect to see improvement in semiconductors in the coming quarters. Overall, we anticipate Life Sciences and Advanced Manufacturing growth will remain healthy in the second half of the year. In Critical Infrastructure, adjusted net revenue increased over 2% year-on-year. Within this end market, energy and power is our fastest-growing vertical, a trend we expect to continue. On the transportation side, we saw solid growth aided by the Middle East. Mid-single-digit revenue growth collectively in these two verticals was partially offset by flatter growth in CDs and places due to specific timing-related items. Looking ahead, we like our positioning in Critical Infrastructure and anticipate sequential revenue growth from Q2 to Q3. Now moving on to Slide number 8. I'll provide a brief overview of our segment financials. In Q2, Infrastructure and Advanced Facilities operating profit was approximately flat in total and on a constant currency basis versus last year. As we noted earlier, Q2 operating profit was impacted by the reserve taken in connection with the JV matter. As we had guided, PA Consulting delivered a meaningful return to revenue growth this quarter along with strong bottom line execution. This resulted in operating profit increasing 12% year-over-year in total and on a constant currency basis, with a strong 22% margin performance. PA Consulting's momentum in Energy & Utilities and Life Sciences has been augmented by improving public sector spending in the UK. We continue to see favorable trends in PA's backlog and pipeline, both of which serve as positive leading indicators. Moving on to Slide number 9. We provide an overview of cash generation and our balance sheet. Overall, our balance sheet remains in excellent shape exiting Q2. We returned a record amount of capital back to shareholders during the second quarter, with very little effect on our net leverage ratio. As we look ahead to the second half of the year, we're forecasting strong free cash flow generation. Focusing on the quarter, during Q2, free cash flow was negative $114 million, which was in line with our expectations and our prior guidance. This reflects a few seasonal cash timing events consistent with patterns we've seen in prior years. During the quarter, we repurchased $351 million in shares, which is a quarterly record for Jacobs. We also finalized an equity for debt transaction using our retained stake in Amentum, which reduced our outstanding debt by $312 million. Summing this all up, we ended the quarter right at the midpoint of our 1.0 to 1.5 times net leverage target. Subsequent to Q2, we received $70 million in favorable working capital adjustments and finalize ownership and shares of Amentum that were previously held in escrow. We used the cash received from the working capital adjustment to further reduce our debt during Q3. In addition, following recent Board approval, we will distribute the Amentum shares released from escrow to our shareholders on a prorata basis at the end of this month. Based on yesterday's closing price, this represents approximately $159 million in incremental capital returns to shareholders. Our balance sheet strengths supports continued investment in the business, along with returns to shareholders via share repurchases and long-term dividend growth. Our commitment to return capital to shareholders is evidenced by our $0.32 per share dividend, representing 10% year-over-year growth as well as our meaningful increase in share repurchase activity in the first half of the year. In total, we returned $628 million to shareholders through repurchases and dividends over the past two quarters alone. This puts us on track to potentially return more than 100% of adjusted free cash flow in fiscal year 2025, excluding the distribution of Amentum shares. While we plan to remain consistent buyers of our own shares, we also continue to evaluate increasing our investment in PA Consulting. Finally, please turn to slide number 10. We are pleased to reaffirm our fiscal 2025 outlook for adjusted net revenue to grow mid-to high single digits year-over-year; adjusted EBITDA margin to range from 13.8% to 14%; reported free cash flow conversion to be more than 100%; and adjusted EPS of $5.85 to $6.20. Now to assist with your modeling, let me highlight a few items related to the remainder of fiscal year 2025. We continue to anticipate revenue will rise sequentially through year-end, with Q3 net revenue expected to grow 5% to 7% year-on-year based on our current view of global market conditions. Notably, a significant portion of our expected revenues in the second half of the year will come from our backlog. On margins, we expect to approach a 14% adjusted EBITDA margin in Q3, and we remain well positioned to meet our full year guidance range of 13.8% to 14%. We will control discretionary spending in response to market conditions. Overall, we feel positive about our adjusted EPS trajectory. In summary, we continue to expect sequential improvement in net revenue and operating profit as we progress through the second half of the fiscal year. We're very pleased with our margin performance and strong trailing 12-month bookings, both of which set us up for profitable growth in the quarters and years ahead. With that, I'll turn the call back over to Bob.
Bob Pragada: Thank you, Venk. In closing, with a solid first half of FY 2025 behind us, we see a good setup in the second half of the year, aided by continued booking strength and margin momentum. With our sharpened portfolio aligned to critical global mega trends and our five-year strategy driving focus and discipline, we are confident in our ability to deliver sustainable, profitable growth over the long term. Operator, we will now open the call for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Andy Kaplowitz with Citi. Please go ahead.
Andy Kaplowitz: Hey. Good morning everyone.
Bob Pragada: Good morning, Andy.
Andy Kaplowitz: Bob and Venk, so backlog, impressive up 20% year-over-year, but as you know, adjusted net revenue growth is -- was up three. Maybe you can quantify the reserve for us in revenue? And I know you have longer duration projects in backlog, but are you seeing more careful spending with customers? And then, sort of the visibility to get to 5% to 7% growth in Q3, do you need to see an acceleration in customers spend to get there in Q3?
Bob Pragada: So Andy, maybe I'll answer the second half of your question and then on the legal reserve, I'll turn it over to Venk. On the second half of your question, so we were very clear on that the second half, we actually have predominance of that in backlog today and have a level of confidence on how that backlog is going to burn over the course of the next two quarters and beyond. So our confidence level is strong on that front. As far as customer decisions with the macro backdrop right now, the procurement cycle is extending a bit, sure. But we see -- we're not seeing broad cancellations or delays in the execution. It's probably more on the front-end of the procurement cycle. So Venk, with that, maybe the legal reserve?
Venk Nathamuni: Yeah. Thank you, Andy. So clearly, we absorbed the impact of the legal reserve. But to kind of quantify it, given that it's a legal matter, we -- and it's an ongoing JV matter, we want to be cognizant of all the implications there. But suffice it to say, that this included as part of our Non-Controllable Interest accounting or NCI accounting and it's a consolidated JV, will clarify that it's 50-50. And so as we use NCI accounting, which we are fully disclosed in our Q and in our footnotes, it's easy for you to figure out what those numbers are. All I can say is that, this is something that we feel we're appropriately reserved for. And this is something, obviously, there was a headwind to our current quarter, but we clearly absorbed it and came out with the results that we did.
Andy Kaplowitz: That's helpful. And maybe you guys can talk about what you're seeing by region? You mentioned PA picked up, backlog there is actually pretty strong. So maybe just PA and then the overall U.K. business, is it still a little bit more, choppy? Middle East, is it hang in there? What are you assuming for FX, given the recent weakness of the U.S. dollar?
Bob Pragada: Sure. Maybe I'll cover kind of the regions and then Venk, can talk about FX. PA really good quarter inflecting the growth, Energy & Utilities and Health & Life Sciences in Europe, PA is really starting to see some nice tailwinds there. And PA's U.S. business is now up nearly 15% year-on-year. So the continued growth in the U.S. backlog growing at solid double-digits. But one of the areas that probably from a rate of growth with PA is picking up, and this kind of goes, Andy, to your second point with regards to the U.K., and I'll kind of go into the Jacobs broader enterprise as well, is defense and security. So PA is one of the leaders in defense and security, advising both MOD as well as other EU countries. And that has seen a significant up-tick in the quarter and with backlog. So for the balance of the year, we see a good trajectory there with PA. With the Jacobs business, Transportation and Water continued to be strong for us in the U.K., mid-single digits with regards to those areas. Some of the buildings work or what we call cities and places, a bit of a longer procurement cycle, but overall, we're not seeing any kind of -- any major headwinds in Europe and more specifically in the U.K., if anything, I'd probably characterize it as a bit of a rebound. Middle East, strong. We continue to grow at double-digits in the Middle East. Again, we were very selective on the programs that we were in the middle of. We're now involved with some time-based programs that have kind of end dates to them with world events that are happening and tourists coming into the Middle East. So overall, we're positive on the Middle East and being very sensitive to any type of macro oscillations there. Venk, do you want to talk about the FX?
Venk Nathamuni: Yes. Thanks, Bob. So as we noted in the prepared remarks, FX was clearly a headwind for us in Q2. I think we said, our revenue would have been 80 bps higher, if it were not for the FX impact. Now fortunately, as we look ahead into Q3, if FX rates were to remain where they are today, that will be a recent tailwind. Hard to quantify it, but certainly, if things persist as they are so far, it will be a positive for us in Q3.
Andy Kaplowitz: Appreciate the color there.
Bob Pragada: Thank you.
Operator: Your next question comes from the line of Andy Wittmann with Baird. Please go ahead.
Andy Wittmann: Yes. Great. Thanks for taking my questions. I guess on free cash flow, maybe for Venk. Obviously, there's always -- the first half of the year is always slower than the second half of the year, but I was just hoping you could kind of help us understand how you get to the 100% greater than 100% conversion this year in terms of the quarterly cadence? Do you expect here the fiscal third quarter to start chipping away and get you back to where you need to be to hit that level? Or do you feel like it's going to be very fourth quarter loaded?
Venk Nathamuni: Andy, thanks for the question. And you're exactly right. This is -- Q2 tends to be a seasonally slow quarter for cash collections. And usually, it's typified by payments of 401(k), cash taxes and so forth. And for -- looking ahead for Q3 and Q4, we feel pretty good about our cash flow outlook. And it's going to be a pretty substantial step up in Q3. So it's not just Q4 back end loaded. So we feel pretty good about where we're going to end Q3. And that gives us good confidence that our free cash flow for the full year will be in excess of 100%.
Andy Wittmann: Got it. And then maybe, Bob, for you with my follow-up, I wanted to ask about your profit margins and heard the approaching 14% adjusted EBITDA guidance here that you talked about for the third quarter. Maybe if you could just talk about the organization right now and discuss where your utilizations rate -- your utilization rates stand this year as compared to last year and other -- and progress on any other initiatives that you have in the organization to improve your efficiencies, and where those programs and processes stand? Thank you.
Bob Pragada: Sure. So maybe I'd characterize it in two parts, Andy. Just -- we did start off the year, I'd call it kind of early January. And I think we telegraphed a little bit in the last earnings call, where utilization was down a bit where we had that kind of shifting of the holiday season spilling over into Q2. Since January, our utilization has picked up. And I'd say it's on par from where we were in not just last year, but previous years. Going into the second half, what we're seeing is, if you remember back in Q3 and Q4 of last year, we had some lumpy wins. That's a good thing. In Q3 and Q4, those early phases of those major programs, those are now inflecting into kind of the detailed design, the production engineering component of those jobs. So we're seeing utilization just in the early part of Q3, pick up to exceed where we were in previous quarters. So that's how kind of we're seeing the utilization profile. PA utilization is definitely better than it was last year, and that is a testament to all the initiatives that the team has been working on over the course of the last six-plus quarters. I'd say from an initiative standpoint, we are seeing some really, really nice growth in our digital business. So if you look at just -- as we measure it as a P&L and then we measure our digital platforms, how they're catalyzing the balance of our business. Just as an individual business, that business has grown smaller number, double-digit on the bottom-line from an OP standpoint. So I think the digital enablement really working on that horizontal that we talked in the Investor Day, all of those are coming through in real time.
Venk Nathamuni: And if I could add to it, Andy, I'd say from a margin perspective, clearly, you've seen us execute to the 13.4% for this quarter. We're guiding to close to 14% in Q3, that's driven by the fact that, as we mentioned at Investor Day, there are multiple levers that we can pull in terms of margin performance, utilization, obviously is one aspect of it. But clearly, from the standpoint of the mix improvements, more global delivery and so forth. So a lot of those things are still in the early stages of implementing. And we feel -- and finally, with the operating leverage that we talked about, I think the combination of those things give us good line of sight to get to the close to 14% in Q3 and for the full year at 13.8% to 14% range.
Andy Wittmann: Thank you.
Venk Nathamuni: Welcome.
Operator: Your next question comes from the line of Steven Fisher with UBS. Please go ahead.
Steven Fisher: Thanks. Good morning. Just wanted to follow-up about the JV project here. And I know it's a sensitive topic, so I'm not sure how much more you can say. But it sounds like it's almost complete. Just curious how this ruling is reflective or not on sort of productivity and performance of the project? And just anything we should be aware of for the remaining kind of handful of percent of complete that needs to get done here?
Bob Pragada: Yes, I can't necessarily go into that level of detail, Steve. But I would say that we were appropriately reserved. And the remaining items on the program are well within reach. So we're not overly concerned there. As far as any detail on the content of what is bad, can't disclose. But what we will say though is that we are working hard with our partner in order to close it out and don't have a high level of concern there. I will say this, though, Steve, is that this is not indicative of any kind of shift in our risk profile. We still have a low risk profile. And if you kind of track us over the course of the last 10-plus years, these are events that are very infrequent if you count them on one finger. So that's kind of how we look at it.
Steven Fisher: Okay. That's helpful. And you were talking before with any capital is about some of the kind of procurement delays. I mean we're hearing broadly about just rising cost of construction in recent weeks and it's not surprising in light of steel and tariffs, et cetera. I'm curious what you're hearing from your customers specifically about higher construction cost. Does that drive any sort of value engineering opportunity for you? Does it sort of lengthen the planning period since you said it's sort of like kind of front end of the cycle? Just sort of wondering what the balance of puts and takes are for Jacobs on sort of a higher construction cost landscape?
Bob Pragada: Yes. So maybe I'll start-off by saying the projects that we're involved with that have a pretty sizable fuel component, these are jobs that are less, if any, discretionary based and more based on business transformation. So if you think about the private sector life sciences, data centers, these are investments that the clients are going forward and making. And then in water, these water jobs are long held on the books and have to deal with clean drinking water, as well as the effects of climate and other impacts of natural disasters have had. So these are jobs that are going forward. As far as the delays that we're seeing on those, that's an opportunity for the client to step back. You appropriately said, Steve, look at some value engineering opportunities. But what this is really opening up is supply chain scenario planning. We have been working with our clients on global supply chain networks. PA has got a really nice platform there with regards to supply chain consulting, and helping our clients look for alternate avenues in the event, just remember, a lot of these tariffs have not happened. In the event these tariffs occur, what are some of the options that they have. And so that has created a bit of some consulting and advisory work for us to be in the middle of this.
Steven Fisher: Terrific. Thank you very much.
Operator: Your next question comes from the line of Sabahat Khan with RBC Capital Markets. Please go ahead.
Sabahat Khan: Great. Thanks and good morning. Just, I guess, sounds like there's some headline volatility during the quarter, but net-net, the backlog turned out well. I'm just curious, was that enough of a macro shock for some of your larger government customers that you deal with to start to think about maybe some level of stimulus spending through the back half of this year, like we maybe saw post the COVID shock? Or is it just too early in the time line or the macro situation for those type of discussions? Thanks.
Bob Pragada: Yeah. Saba, I would -- probably would be not in a good place to articulate the size of it, but you're spot on. Some of those early -- let's hit the pause button, especially with our DoD infrastructure clients, not knowing which way the wins were going to blow. We are starting to see that come back into the second half. And so these things, as I mentioned on previous quarters, these were never canceled, they were only maybe paused or a bit delayed and those programs that have been approved and funds been appropriated are starting to come back. On the state and local business, not just in the states but globally, those have not stopped. So we didn't necessarily see that dynamic is probably more federal infrastructure, DoD infrastructure that if that applied to.
Sabahat Khan: Okay. Great. And then as we think back to some of the areas of focus or the end markets that you're talking about at your Investor Day, some of the things around semiconductor, health care, things like that. Just wondering, if across some of these end markets, you have seen some talk of reshoring related projects or initial discussions, whether it's manufacturing or some of the other end markets that you operate in, maybe -- are some of those early discussions happening? Thanks.
Bob Pragada: They are. They are. So maybe I'll hone in on two end markets, Life Sciences and our semi focus. These are clients that are looking at global supply chains and have had on their capital road map, projects that are in multiple locations, predominantly the US and Europe. So right now, we're seeing the pull and push on either geography and that's leaning towards the US, which kind of plays right into our sweet spot. Semi is the same way. So some of the high bandwidth manufacturers, as well as even some of the larger players are starting to point those jobs into the US. I would say that it's early though. It's early days, which actually still benefits Jacobs because we're on the early front-end planning, site selection of these programs. So discussions are in real time. And the great thing about kind of the Jacobs platform is that, we're there in any form. And if it goes into one geography over the other, our global delivery model allows us to continue to use that talent across multiple geographies, whichever way it goes, but definitely a lot of scenario planning happening in real time.
Sabahat Khan: Thanks very much.
Operator: Your next question comes from the line of Michael Dudas with Vertical Research. Please go ahead.
Michael Dudas: Good morning, Bert, Bob, Venk. Maybe you could share some further thoughts you called out in your prepared remarks, fast-growing water and fast-growing energy power. Any interesting dynamics around that, especially with energy power tied towards some of your larger SAM customers?
Bob Pragada: Yes. So the grid modernization and kind of the electrification of all, Mike, has continued, not just in the US tied to probably more of that data center positioning that's happening right now, but in Europe with regards to some energy security items that are happening, and we're seeing it and in Southeast Asia, as well as Australia and New Zealand. So, that continues to grow. That sector, though it's a smaller component, but growing at a very fast rate, continues to grow at strong double digits. And I think tied to the kind of the data center component, we're going to continue to see growth on that front. Water, it is uniform across the world right now. These programs, whether it be in the UK, the [indiscernible] cycle, as well as some larger frameworks that are coming up now. We, I think, publicly disclosed what's going on with Central Utah, the West Basin in Southern California. These jobs that were -- that we've been working on for nearly a decade are now coming to fruition. And so we're seeing kind of that double-digit pipeline growth in multiple geographies, as well as strong P&L performance year-on-year. So, we believe that Water is going to continue to become a larger part of our overall portfolio. Today, it represents about 25%. That's going to continue to grow.
Michael Dudas: Thank you, Bob. And my follow-up is maybe share some thoughts on your -- the comments about PA and increasing your investment. What's the genesis of that? And how has that evolved over the last couple of years?
Bob Pragada: Yes. Maybe I'll start off and then Venk, you can talk about some of the mechanics. So when we went into the PA investment back 4 years ago, we had -- we had kind of the PE style approach where a partner -- a partner invested model, as well as ourselves with a liquidity event that would occur after year 4 and before year 5. So this is all public information as well. And so now we're looking at what -- this is a great opportunity to increase our investment in PA and continue to build on what a lot of hard work and a lot of equity has gone into the partnership and taking it to the next phase, really great time. PA is coming off of some real strong backlog growth of reemergence in the U.K. as well as the Europe business. And together, just what we talked about at Investor Day, that strong consulting and advisory business driving the redefining of the asset life cycle is a great opportunity for us looking forward. So, more to follow on that base.
Venk Nathamuni: Yes. And Mike, if I could add to what Bob said. Clearly, from the standpoint of the partnership, it's deepening, it's strengthening in multitude of ways, and we're seeing that showing up in the results and we feel pretty good about the outlook for the remainder of the year, at least for Q3 and beyond. So, I'd say, with that having said, we certainly have a very strong balance sheet, a lot of good cash generation ahead of us as well. And we're committed to returning cash to shareholders. We're also -- we've stated all along that we are considering increased stake in PA. And that's something that we're actively looking into. And we'll keep you posted at the right time.
Michael Dudas: Thanks gentlemen.
Venk Nathamuni: Thank you.
Bob Pragada: Thanks Mike.
Operator: Your next question comes from the line of Chad Dillard with Bernstein.
Chad Dillard: Hey, good morning guys. I wanted to go back to the prepared remarks when you talked about gross profit and backlog up 15%. I was hoping you could break down the drivers, self-help versus mix, just a relative portion. And when do we see this inflection? Is it more of a 2025 event? Or is this more of an opportunity for 2026?
Venk Nathamuni: Yes, Chad, thanks for the question. So, I'd say, obviously, we will continue to see good growth in our gross profit and backlog. To the extent that we are showing revenue growth for the full year, we do see a lot of opportunity for us to expand on that growth in the coming quarters and years. From a profitability standpoint, you can tell that the profitability has been steadily up and to the right, and we expect that to continue in Q3 and Q4 as Bob just said. And for the full year at the midpoint of our guidance range, we'll be at a 13.9% EBITDA margin. And so a lot of factors associated with it. It's just the quality of our engagement. And we talked about at Investor Day, our commercial models and global delivery models and so forth. So, multitude of ways for us to increase the gross profit over time, and that will translate into EBITDA margin as well as free cash flow in the coming quarters.
Chad Dillard: Great. And then just in terms of your second half revenue guide, can you walk through the moving parts within like the sub segments of IA&F just to get there?
Bob Pragada: Yes. Why don't I kick it off, Chad, then Venk can follow-up? I'd say that I'd point to five main drivers of the second half revenue growth. And these are, like I spoke about earlier, are coming off of some of these awards have been public, but some of them also we can't disclose. But starting off with Life Sciences, some large wins. We disclosed the Fuji win, talked about the Merck win. Those are now coming into play as well as continued growth within GLP-1. These, again, were jobs that have gone into our backlog over the course of the last few quarters. Water has been uniform, and that is now coming into the second half of the year. AMP 8 has been well discussed as well as Jackson, Mississippi and this West Basin win driving those. And so these are just some reference points to highlight the growth. Semi, that high-bandwidth memory work that we're doing in the international work, that's now coming into play. So, you can kind of see this theme of energy and power and data centers also adding to that, giving us some real strong wins. And those is more steady growth for us. We have been steadily kind of mid-single-digits growing in transportation, not just in the U.S. but also in Southeast Asia, and specifically ANZ and in Europe. So those are all kind of been off the backs back of Aviation, but some really strong highway and rail work too.
Venk Nathamuni: Yes. And just to add to what Bob said, when you look at it across these different end markets that Bob highlighted and the specific wins, we've been talking about some of these bookings wins in the last several quarters. A lot of them are coming to fruition. We started some of them happening in Q2, but you're seeing an acceleration of that in Q3 and Q4, that's what gives us visibility into the 5% to 7% sequential growth in Q3, and driven by the specific market opportunities as well as wins that we have demonstrated over the last several quarters.
Chad Dillard: Great. Thanks guys.
Venk Nathamuni: Thank you.
Operator: Your next question comes from the line of Sangita Jain with KeyBanc Capital Markets. Please go ahead.
Sangita Jain: Hey. Thank you for taking my question. Most of them have been answered, so I'm just going to follow-up on details on a couple. One is on margins. I understand you gave us second half outlook, but I just want to make sure I understand which segment we should expect to inflect more strongly in third quarter since PA Consulting seems to be growing at that 22% range anyway. So should we expect more of an inflection in IAF?
Venk Nathamuni: Yes, you're exactly right, Sangita. I think I&AF is where we see the biggest margin improvement opportunity. And it's a combination of not only the mix and GID and other things that we talked about in the past, but the fact that we are also seeing some good growth in some of these businesses that span the entirety of the life cycle, so to speak. And we, certainly, also want to point out that we did absorb the full effect of the JV matter in the quarter. And therefore, we feel pretty good about where our margins can be in Q3 and Q4, such that it gives us a good visibility to get to the 13.8% to 14% margins.
Sangita Jain: Got it. Thanks. That was helpful. And on the backlog, should we -- I know last couple of quarters, you've said that your backlog is longer duration, and thus the stronger backlog growth versus revenue growth. Should we assume that the case in this quarter also, and is this maybe a strategic decision on your part to book these kind of larger, longer duration projects?
Bob Pragada: When you say this quarter, Sangita, you're talking about Q2?
Sangita Jain: F2Q, yes.
Bob Pragada: Yes, Q2. As far as a strategic decision to go after the larger programs, that's always been a part of our pedigree for several years. So we're working with our clients and our clients' capital portfolio. There are larger jobs at times in their capital portfolio. There's smaller jobs. So if you look at the 25,000-plus engagements, projects, programs that we have with our clients around the world, there'll be a spread to the size of the jobs. I think the key point is that we're not chasing jobs. We're in the middle of our clients' capital budgets, and those have a spread and a profile to them.
Venk Nathamuni: And Sangita, if I can add to it. I would say, it's more of a portfolio approach, right? So depending on the end market, depending on how complete the asset life cycle is covered by a particular project, we kind of pick and choose. Having said that, we certainly want to have a nice balance between things that are faster burning such that it has an immediate impact and things that are longer term in nature, because that has a lot of visibility as well, so that -- it's kind of a balanced approach. And on top of it, clearly, from a margin expansion standpoint, we certainly want to drive value for the value that we provide to clients.
Sangita Jain: Great. Appreciate the answers. Thank you.
Venk Nathamuni: Yes.
Operator: Your next question comes from the line of Jamie Cook with Truist Securities. Please go ahead.
Jamie Cook: Hi, good morning. I guess just two quick follow-up questions. One, just on PA Consulting, it sounds like that's moving forward earlier, I think, than some people would have thought. I guess just broader, Bob, how are you thinking about the size PA Consulting as we look to 2026? How are you -- what's your appetite for sort of broader M&A in addition to PA consulting? And then my follow-up question, Venk, just on the guide, given where we are, where earnings came out in the first half of the year, it seems like, I don't know the high end or anything above the midpoint is probably more challenged to get there? I mean is that how your viewing things should we look at the sort of the low end to mid-end of the guide is more likely versus high end on EPS?
Bob Pragada : Sure. Sure. So Jamie, maybe on the first one, let me -- the PA timing, and maybe that's just how we articulate. The PA timing has not been pulled forward. That was always -- it's kind of on schedule. We really wanted to make sure that we were at a point where the strength of the partnership and the collaboration that we're seeing on different opportunities has really come to fruition. So that's actually, I'd call it right on track and a lot of hard work been done by both parties to get it there. And so more to follow on that front. As far as anything further, not now. This is an organic execution play. We feel really strongly, along with PA, that the portfolio is where we need it. We need to continue to focus in on our clients, ourselves and the model that we have in the return of capital to shareholders. And so that's the path that we're on right now.
Venk Nathamuni : Yes. And Jamie, if I take the second part of your question was just on the guidance. So clearly, we've given guidance for Q3, which is based on everything that you heard Bob and I talk about in terms of our end market exposure and so forth, feels -- we feel comfortable with the 5% to 7% growth rate. And then the more important part is on the margin expansion front. So we feel really good about the 13.8% to 14% margin. So when you take all of that into account, from the standpoint of our EPS, we feel pretty good about getting there, just driven by not only the revenue growth, but as well as the margin expansion as well as EPS. And then obviously, we are cognizant of what's happening in the macro. So we continue to watch it, and we will take appropriate actions. But suffice it to say that where we stand right now with the business key metrics that we're watching, we feel comfortable with the 5% to 7% sequential growth rate.
Jamie Cook: Thank you.
Operator: Your next question comes from the line of Jerry Revich with Goldman Sachs. Please go ahead.
Jerry Revich: Yes. Hi. Good morning everyone.
Bob Pragada : Hi. Good morning. Jerry.
Jerry Revich: Hi. As we look at the performance geographically, you folks had outstanding growth in Middle East and India, nearly half of your dollar growth in the quarter. Can you just talk about how much runway you have to grow in those regions? And separately, U.S. has been roughly flattish just given the projects that you folks spoke about. Can you just put a finer point on whether you expect your top line growth to accelerate in the U.S. as you laid out the framework over the balance of the year?
Bob Pragada : Sure. So let me address the first part, India and Middle East. Jerry, we see -- I don't want to go so far to say limitless, but our growth potential in the Middle East and India is not constrained by resource. And with our global delivery model, where if you go to the Middle East on any of these larger programs that we have, we literally have the United Nations there on site, and it's a testament to our very inclusive culture that we've worked on so hard at Jacobs. So I think the use of people and talent from around the world in the Middle East continues to facilitate that growth trajectory. In India, it's kind of the reverse. The ability for our Indian talent to not only support now what's happening with regard to technology manufacturing in India as well as India for the rest of the world continues to grow. So I think that those two areas continue to be really strong areas of growth, not just for that geography, but also how those geographies facilitate the balance of growth. On the US, I think that you might be looking at a gross number. The net service revenue that we are experiencing in the US right now across our verticals is in growth mode. So maybe we could talk a little bit more about that offline and kind of showing that full picture. But that growth in the US continues to be a strong part of our business.
Jerry Revich: Super. And then just to put a finer point on the project selection part of the conversation, the write-down in water and environmental. Can you just talk about, for you folks, obviously, unusual relative to history, are there any other projects that are of similar vintage or a similar risk within the portfolio or any projects where you're monitoring risk factors given the write-down?
Bob Pragada: Yes. Jerry, our project risk doctrine, with strong governance over that, remains strong across the entire portfolio. Hence, these are not events that happen, not even routine, but even in a decade. So I think that this project selection, we've been involved with this job well, I said 2016, the early conceptualization of these programs are even beyond that. And it's something that we've worked with the client for a long time, and it's one that has had a tremendous impact on the community. So selection, I'm not questioning that at all and as well as the tools and the risk mitigation that we utilize across our portfolio remains very strong. These are just -- these are situations that happen. And again, we're appropriately reserved and feel strongly about the entirety of the portfolio.
Jerry Revich: Thank you.
Operator: And that concludes our question-and-answer session. And I will now turn the conference back over to Bob Pragada for closing comments.
Bob Pragada: Everyone, thank you for joining our earnings call. We look forward to engaging with many of you over the coming days and weeks and look forward to a strong second half. Thank you, everyone.
Operator: This concludes today's conference call. Thank you for your participation, and you may now disconnect.